Operator: Thank you all for joining us this morning. Before I turn the call over, I need to advise that certain statements made during this call today may contain forward-looking information, and actual results could differ from the conclusions or projections in that forward-looking information, which include, but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices, and the cost and timing of the development of new projects. For a complete discussion of the risks, uncertainties and factors which may lead to actual financial results and performance being different from the estimates contained in the forward-looking statements, please refer to Yamana's press release issued yesterday announcing fourth quarter and year end 2015 results, as well as the Management's Discussion and Analysis for the same period and other regulatory filings in Canada and the United States. I would like to remind everyone that this conference call is being recorded and will be available for replay today at 12 O'clock P.M. Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are available on Yamana's website at yamana.com. I will now turn the call over to Mr. Peter Marrone, Chairman and CEO.
Peter Marrone: Thank you very much for that and thank you very much ladies and gentlemen for joining us. This morning we have several members of the management team of this company here with us. We have Gerardo Fernandez, Gil Clausen, and Daniel Racine, who manages Southern, Brio Gold and Northern Operations; William Wulftange who manages our Exploration; Barry Murphy, for Technical Services and Development; Chuck Main, our Chief Financial Officer, Jason LeBlanc, who is our Senior Vice President of Finance. Also here is Greg McKnight who manages Business Development and Investor Relations and Darcy Marud, who manages at relationship between Exploration Development and Operations providing that oversight – that umbrella to the three disciplines. Welcome to the Q4 and year end 2015 conference call. We previously published our year end operating results and our guidance and we previously sought to show how we see value from a strategy through to execution. And today we will deal with our year end deliverables and how that positions us for 2016 and 2018. 2015 was a repositioning and transition year largely we've been successful. We’ve streamlined our organizational structure, we improved mine plans and delivered production at reasonable and improving costs. We've improved our balance sheet. We've recalibrated development assets and the balance sheet. We've recalibrated our mineral reserves and mineral resources. We took a step-back to move forward more prudently and confidently into 2016 and we're well positioned for production cost, cash flow and our growth objectives into 2016. Let me give you some of these five or so components to which I just referred. On the organizational structure and perhaps if I can vary some of the order on this page, we announced management and management bench strengthened the company throughout 2015. But beginning in 2014, we improved health, safety and sustainable development oversight to compliment the enhanced operational and tactical oversight of the company. We build up a technical services division that is now managed from Toronto. We promoted from inside and brought new talent for our operations from outside the company. Management in the organizational structure was better aligned with the portfolio. We created these semi-autonomous operational divisions with North, the South, the Central which we called Brio Gold under common corporate oversight. We focused management on core and cornerstone assets without overlooking smaller assets with significant leverage to gold price. We created an Executive Vice President structure and promoted from within into these positions to harvest the experience in exploration, business development and operations through common oversight. We demonstrated internal promotion and succession with thought through succession plans. Our CFO succession plan was developed and that transition is underway. We've relied on internal strength and steady state management development. I’ll touch on that a little bit later through our presentation. We further rationalized our G&A. We consolidated our offices by closing our São Paulo office. The cash portion of our G&A is projected to be $85 million which is down from a peak of approximately $123 million. And finally we aligned our key performance indicators at a mine level and all the way up to corporate executive to better reflect performance and pay. Shareholder engagement processes has been underway and ongoing. We've been listening to shareholders and we are confident that 2015 has completed that organizational construct repositioning that puts us in a good step for 2016. On the mine plans and the production and costs, we delivered an increasing annual production within our guidance range approximately 1.2 million ounces of gold which was within our guidance, 9 million ounces of silver again within our guidance and 131 million pounds of copper which was above our guidance. Production was delivered at lower costs year-over-year with costs at mines amongst the lowest in the industry and cost at our cornerstone mines in particularly amongst the lowest in the industry for certain. Overall, $596 per ounce cash costs declined in this year to the low 500s and $840 per ounce on an all-in basis that are declining this year to the high 700s. With improvement in our resource models and mine plans it gives us more confidence in operational performance and achieving targets. We have been meeting with many of our shareholders over the last few weeks and the question that is asked is this, are we confident in our production expectations for 2016 and the answer is yes more confident than in 2015 and 2015 was more confident than 2014. We’re confident in being able to achieve our objectives in 2016 and the years to follow as a result of those improved models and mine plans. We have been focusing on exploration, development and operations for cash flow generation and increases in cash flow. So our portfolio as I mentioned is well positioned in relation to our guidance and expectations for 2016. 2015 was also a year where we improved our balance sheet. We completed an equity financing and a streaming deal that proceeds improving the balance sheet strength significantly. Debt plus working capital improved by a full $350 million in that, a reduction of debt of $286 million. The Brio Gold initiative facilitated significant operational improvements across both the Brio asset portfolio but also the broader year amount of portfolio and we advanced certain monetization alternatives. As we said, monetization needs to properly balance reasonable value and experience. We took the position last year that we did not complete that transaction on the monetization. Instead, as of this week we've engaged in the acquisition of RDM which is a highly accretive asset that enhances the ability to maximize the value in the Brio portfolio. We have made those decisions with respect to any monetization event in Brio Gold, because our first objective is to continue to demonstrate the improvement of the assets and then to continue to demonstrate what value we can bring from them. Cumulatively then Brio Gold will hold and own three producing mines with the combined annual production of 250,000 ounces of gold at an all-in sustaining cost of below $800 per ounce. It will also hold an advanced development stage project, which has the potential to add an additional 100,000 ounces of annual production. It would have a significant mineral reserve and mineral resource base of approximately 1.5 million ounces in reserves as we reposition or we reclassified in resources back to reserves and approximately 2.4 million ounces of mineral resources, plus an additional 3.5 million ounces of inferred resources with significant potential for further increase. Now, as I mentioned and this question is asked a lot, we advance plans to monetize a portion of the Brio Gold division not including RDM last year. And we concluded late last year that in the short and intermediate term, the division carries more value in the company than outside the company. We believe that there is significant unrecognized value in that portion of the portfolio. We believe that the producing mines, which now will include RDM would carry sufficient production and cash flow to fund the development of the one remaining development stage asset in that division. We continue to be focused on short term and medium term on continuing the surface value from that division. At this time, there are no final decisions that have been made on the monetization above or any portion of that division as we continue to evaluate how we can demonstrate to you, the true high quality value of that division inside or broader Yamana. We said last night that we are targeting $300 million of debt reduction over 2016 and 2017. Bear with us, we have not indicated how we plan to do that, however, we have lots of weapons in our arsenal to be able to achieve the objective. Clearly, the most significant of which is the organic means of delivering cash flow and increasing our cash balances. We are also targeting net debt EBITDA leverage of 1.5x to 2x. We remain committed to debt reduction and cost improvements. Following those debt reductions in 2015 of $286 million, we plan further debt reductions this year and into 2017. Some of the $300 million is scheduled debt repayments, but it is very modest. We are expecting to repay on our schedule debt repayments approximately $115 million between 2016 and 2017. And so clearly, what we are saying is we'll pay more than that of our debt. We'll achieve that to organic generation of cash flow and other available means. Monetization is secondary metals in assets. While there are not yet any finalized plans in respect to these monetization initiatives, we continue to consider the many alternatives that are available to us in the company. And to touch on the final point to which I've already referred, the tenure of the debt here is important and Jason will touch on this point. We are well positioned and balanced for repayment over the short, medium and long-term. On our balance sheet, we recalibrated that balance sheet. We took an impairment. The impairment reflects the following two things, a change in long-term metal price assumption. Chuck will touch on that and a change into IFRS Accounting Standards from Canadian GAAP since certain acquisitions were completed years ago. IFRS has more of a market-to-market approach to impairment review. As you see on the third bullet here, impairment, the impairment is non-cash and interestingly improves our DDNA by roughly $100 million from what we guided earlier this year. In addition, the book values now better and more fully reflect market realities and continue to be in line with or above consensus net asset values. The book value of this company even after impairment is still significant and does not fully reflect the net asset value particularly at such mines of Chapada and Canadian Malartic. Now, under IFRS requirements, we will require to evaluate book values from time to time and if circumstances warrant as required by IFRS, we will consider any reversals. As you see in this diagram, this waterfall. We have taken an impairment on the assets that are shown here, by category. Most of the impairment is on exploration lands, and even the potential ounce impairment is really an exploration event. We looked at it and said, “if we compare exploration concessions in this company to the value of exploration companies, it has come down a lot, and we need to reflect that”. And so we’ve taken that impairment. The impairment or mine cash flow, in other words, producing mines that generate cash flow is comparatively modest. But it leaves us with a net book value after impairment of $8.2 billion or on a per-share basis of over $5.10 per share. We recalibrated our mineral reserves and mineral resources. We updated mineral reserve and resource estimates, tying those to improving mine plans and increasing operational predictability. The largest decrease in reserves are Pilar and C1 Santa Luz. That is the result of re-categorization into resources. We expect, and Gil will touch on this, that these resources will be upgraded back to reserves. As I said, take a step back to move forward, more confidently, more competently, more deliberately, and with a higher assurance. We have a significant resource base on which to build the targeting upgrades of resources to reserves with an established history of resource conversion across the portfolio. And going forward, there is considerable exploration potential on which Butch, will touch at our cornerstone mines with Sucupira at Chapada, our El Penon efforts, Odyssey at Canadian Malartic and at other mines and assets, with Jacobina’s improving new discoveries, Gualcamayo with Deep Carbonates, and Minera Florida, and our Kirkland Lake, and Monument Bay advancing exploration assets. So, in terms of gold mineral reserves, we are at 5.9 million ounces of gold reserves, 98 million ounces of silver reserves, and 3.1 million ounce of copper mineral reserves. You see on the gold side that the singular largest category of decrease in reserves comes from Pilar and C1 Santa Luz reclassifications. That is prudent. What we are doing is we are taking a step back to move forward with more deliberate and confident plans for reserves, mine plans, and then production. If we eliminate Pilar and C1 Santa Luz’s reclassification, we have a roughly 7% decline in reserves. There is a corresponding increase in resources and we see the reclassifications as largely timing. And on gold M&I, there is a large and increasing M&I to supplement those resource as you see here. With the M&I resources increasing from 21.3 million ounces to just under 25 million ounces, with 65 million ounces of silver, and 945 million pounds of copper in M&I. On our inferred resources, the largest increase is on new projects and discoveries, Monument Bay, Kirkland Lake, and Sucupira, which is a very new discovery at Chapada. Having increased our M&I for gold, from 13.9 million ounces to just over 15.2 million ounces. So, to summarize then on our operational results for 2015, 1.275 million ounces of gold, 9 million ounces of silver, 131 million ounce of copper, at cash cost below $600 per ounce. On the silver side, just a little above $7 per ounce. All in-sustaining cost of $842 per ounce with a co-product cash cost per pound of copper of $1.46 per pound. However, into 2016, with our guidance range that you see of 1.234 to 1.305 million ounces, we are confident to the extent that we were below the mid-point in 2015, we will be deeper into that guidance in 2016, closer to that top point of 1.3 million ounces. Silver production expectations of roughly 7 million pounds and copper production expectations of 125 million pounds. Now, I don’t want to preempt what happens with operations, but last year we guided for copper at Chapada 120 million pounds, and we delivered 131 million pounds. So we think that there is room for opportunity for upside. With costs of low $500s on cash costs and below $800 per ounce, and the high $700s, on an all-in cost basis. With that ladies and gentlemen, let me pass you to Gerardo into the operations team. Gerardo Fernandez Thank you, Peter. Chapada continued to deliver on expectations. We have annual production 11% higher than 2014, mostly due to higher grades. We also have 20% reduction in cost for both and 15% for corporate. During the quarter into 2016, we continue to move forward with initiatives on projects to increase recoveries, improve throughput, and reduce cost. In particular, the retrofit project to upgrade the flotation circuities on time on a schedule to be completed at the beginning of Q2. This improvement designed with a focus to ensure that Chapada continues to deliver significant value in a low price environment. Jacobina had a good growth in production based on increasing grades, which was about 22% with a proportional reduction on cost 27% lower cost compared to 2014. We continued to develop into a higher grade area of Canavieiras and the execution plan is the same disclosed previously, focus is in mine development, delineation drilling, dilution controls, and now with an cost reduction. Penon Q4 returned to a normalized level of production following the lower level of production in Q2 and Q3 as we were at the edges of the Bonanza zones with high grade. So, what we expect for 2016, is that production levels should be comparable to the rate of production that we had in Q4 and Q1 in 2015. And this year our focus would be to continue to reduce cost and also improve productivity especially at the underground mine. Florida had a very strong quarter in Q4, continued into coal production record which exceeded our expectations, mostly based on high grade throughputs and high grade feed grades. Our focus will continue to improve the throughput and also build on the recent exploration results to perhaps improve our production platform for that mine. Gualcamayo will also have a record annual production, as we saw the increase throughputs, compared to 2014 we have 20% increase in the fourth quarter or the third quarter due to improved recoveries and the heap leach and the completion of the ADR plant expansion. Improved production and the revaluation of the Argentine Peso together with initiative to reduce cost contributed to a lower cost overall. In 2016, we'll continue to pursue optimizations of the mine plan, optimizing the heap leach inventory which is progressing well, and improving our contract in service trends to reduce our cost and improve our efficiencies. I will now turn the call over to Gil to cover Brio Gold.
Gil Clausen: Thank you, Gerardo. 2015 was a transformative year for Brio Gold’s operating assets. At Pilar, with our change in mining methods to selective narrowing method, we had 38% increase in production and saw improvements in production and cost quarter-in and quarter-out. At Fazenda Brasileiro, our investments in sustaining capital and exploration positively impacted cost and ensured stability of the asset over the long term. At C1 Santa Luz, we expect to complete our 15,000 meter drill program around the end of this month. Our goal was to create a full geo-met model for the deposit and the program is going very well and we expect that this work may result in an upgrade in resource size and of course confidence. In terms of metallurgical work, we are getting a good calibration between carbon content, preg-robbing index and recoveries in the carbonaceous zone which represents about 48% of the mineralized deposit. At this point it does appear that PEA estimates are standing up quite well. Our detailed operating capital cost estimates based on a revised mine plan and the plant modifications are expected to be published in a detailed NI 43-101 technical report around mid year, at which time we expect to announce new reserves. That study has been conducted by Roscoe Postle Associates and Sanco. Peter, mentioned in his opening remarks that the acquisition of MRDM is highly accretive transaction from a production reserve and valuation basis. Let me talk briefly about the asset. MRDM is an open pit mine which started production early in 2014. Currently it’s expected to operate at about 50% availability this year due to an undersized water storage capacity, and this is a semi area of Brazil. Our plan is to double 2016 production, which is 50,000 ounces, by investing about $6 million this year in the construction of a water reservoir which will allow for continuous sustainable operation. MRDM is a large reserve and resource base still open laterally in depth and given the size of the land position, tremendous exploration upside exist to increase resources further. Significant and comprehensive diligence was conducted for this acquisition, including independent review by RPA and 43-101 technical report was generated. So we’re confident in the potential that MRDM has to offer. I'll now turn the call over to Daniel to discuss Northern Operations.
Daniel Racine: Thank you, Gil. Canadian Malartic achieved an annual record production in 2015, which was in line with expectation. Production benefited from higher grade and throughput. Cash cost were 15% lower than the previous year, and as a result of the higher grade but higher production and the evaluation of the Canadian dollar. 2016 is expected to remain at the same level as 2015. Canadian Malartic will continue to improve, to work on improving production cost in 2016. At Mercedes, annual production was impacted by higher dilution resulting in lower than planned gold and silver grades. Lower production also impacted cash cost. In the fourth quarter, efforts to improve dilution control and the mine cost structure continued. In addition, the transition from long hole mining to cut and fill mining is completed. In the fourth quarter the operation ramped up. These efforts continue to improve grade and recovery rates for both gold and silver compared to the third quarter. We are confident that these transition initiatives will positively impact production in 2016. As evidenced by the 16% month-over-month increase in gold production and 14% lower cost we delivered in January. I will now turn the call over to William.
William Wulftange: Thank you, Daniel. The 2015 mineral reserve and mineral resource estimates slide depicts the reserve and resource growth from 2012 to 2015. As you can see with these bars, there is fluctuation in the amount of reserves that we carry on the books versus the amount of resources. Overall trend is positive and we are showing growth here. Note that in 2014 to 2015 we show movement from reserves to resources principally due to C1, Pilar, and Mercedes, model adjustments. We feel that as has been previously stated we will recoup most of these reserve downgrades back into reserves over the next one to three years. In fact as Gil stated, the process is ongoing and actually has been successful this year at Pilar. Also note, Chapada did replace and grew reserve with reserve growth in 2016 expected. Minera Florida nearly replaced reserves and has many exciting targets that will continue to add growth into 2016. The 2016 exploration program has a budget of $86 million, the focus will be on El Penon, infill and discovery of a new multiple hopefully 200,000 to 500,000 size deposits. Resource inventories for 2015 do not reflect meaningful increases at Canadian Malartic, and further resource growth at El Penon principally due to timing, Canadian Malartic are still drilling the Odyssey deposit and expect a sizeable addition to the resource base based on that discovery in 2016, and we will be updating El Penon as well in 2016 with further discoveries. I'll now turn the presentation over to Barry.
Barry Murphy: Thanks very much, Butch, and good morning, everyone. First slide shows a brief overview of the development project pipeline that we have in Yamana. Starting on the left hand side, we see advanced exploration project of Monument Bay in Northern Manitoba. It was reached and acquired. Moving to the right through scoping, we have the Chapada expansion project in Brazil, where we're looking at opportunities to expand that operation and the process of defining a road map to do that. We're having a PEA and pre-feasibility stage. The two projects of C1 Santa Luz, which currently forms part of the Brio set of assets in Brazil, as well as the Deep Carbonates project at Gualcamayo operation in Argentina. Then finally, currently in execution, we have Cerro Moro that was referred to earlier in Argentina. The next slide will provide a little bit of an update on the Cerro Moro project. The project was rebaselined during the second half of 2015. We removed the first production date from mid 2017 to Q1 2018? This provided us with a number of opportunities, one being that we now are going underground earlier than anticipated to achieve two things. The first being, understanding the mining conditions underground which will allow us to mitigate and ramp up risk that we may have include in the previous baseline. During the course of 2016, we will be continuing with construction on that operation with arc earthworks and concrete works planned for completion about end of this year. We'll also continue with the detailed engineering to a point where it will be almost complete by the end of 2017, allowing a secure run for construction in Q1, 2017. As mentioned, the first production days is expected in Q1, 2018. The capital schedule is shown in those following bullets with the initial capital still sitting at $285 million, which includes $25 million that was spent in 2015, with the forecast continuing capital spend of $260 million for the remainder of the project. The life of mine sustaining capital is shown there at $119 million and our capital expenditure forecast for 2016 is $49 million. The metrics you can see on the table on the right hand side reflect the updated mine plan, all of which are generally improvements on our previous based on schedule that we had and, which you can refer under the previous release that we provided information of the fees metrics. With that, I will pass over to Chuck Main, thank you.
Chuck Main: Thank you, Barry, and good morning, everyone. I will cover the financial performance and Jason will address a couple of the slides relating to balance sheet. In the fourth quarter, we continued to deliver financial performance as our portfolio achieved the annual gold production within our guidance range. Revenues in the fourth quarter were approximately $463 million contributing to a full year revenues of over $1.8 billion. Our adjusted loss for the quarter was approximately $7.5 million or $0.01 per share, and for the full year our adjusted loss was approximately $73 million or $0.08 per share. We continue to believe that cash flow better demonstrates financial performance of a company's net earnings. In the fourth quarter, we generated approximately $151 million or $0.16 per share in operating cash flow after adjusting for certain one-time items. Most notably of which is a $148 million positive cash flow in deferred revenue on metal streaming agreements. I would like to go into a bit more detail on our financial performance by looking at our gross margin. Specifically how we've been able to maintain a healthy and comparable gross margin during the year despite the decline in metal prices. If we look at the fourth quarter and full year for 2015, we see that the decrease in metal prices compared to the respective periods for 2014, resulted in decrease in revenues of $70 million and $210 million respectively. Importantly, we were able to maintain our gross margin relatively constant despite this decrease, which included approximately $100 per ounce decrease in the price of gold in 2015 compared to 2014. Looking at the slide, we can see that the Q4, 2015 metal price was approximately $100 million less than in 2014, but the gross margin percentage in Q4, 2015 has actually increased compared to 2014. As this suggests, had metal prices remain constant then our gross margin would have increased substantially compared to the comparative periods. This ability to maintain healthy gross margin despite the decline in metal prices underpins our low cost structure and our ability to continue to deliver financial performance in a low metal price environment. In the fourth quarter, we further strengthened our balance sheet as we continue to advance debt reduction initiatives. At the end of the year, our cash balance was $120 million, and available credit was approximately $814 million. Our net debt at the end of the year stood at approximately $1.65 billion, which is an approximate reduction of $215 million since 2014. Working capital at yearend was $107 million, representing a $64 million improvement to our working capital position over the course of 2015. Depletion, depreciation, amortization for the year was approximately $542 million, which is up slightly year-over-year reflecting increased production. Corporate G&A was approximately $118 million in 2015, representing a $4 million reduction from the previous year and $27 million or 20% decrease from 2012. These initiatives on corporate G&A have been ongoing for the last three years. The reduction in G&A is the result of continued implementation of cost saving initiatives across our business and we expect an additional decrease in 2016, bringing the targeted G&A to $100 million. Our expiration expense for the year was approximately $23 million. Total capital spend in the year was $379 million, a decline of $283 million or 43% from the previous year. We are focusing on capital allocation, prioritization, and optimization. Our ability to maintain the strength of our balance sheet despite lower metal prices is a result of our continued focus on operational execution, and the improvements we have delivered across our portfolio. Jason?
Jason LeBlanc: Thanks, Chuck. Good morning, everyone. I'd like to take a minute to go through a few slides on the progress of our debt reduction initiative during 2015. We have a clearly stated goal of reducing the balance owing on our revolving credit facility to zero. And in 2015, we made significant progress to this end. We reduced the outstanding balance by approximately $224 million over the course of the year. As Chuck already mentioned, we reduced our net debt position by approximately $215 million last year. The progress on debt repayment and improving our balance sheet in 2015 have us well positioned financially going forward. As we look ahead, it's important to consider the repayment schedule for our outstanding debt. You have seen the slide before and I think it's an important message to reiterate. Our debt profile is one that we have comfort in and that is not because it's manageable and well matched to the portfolio of our assets. This profile has been well thought out and put together over the years to make sure that we have repayments appropriately spaced out. We have flexibility within this portfolio and we have comfort in dealing with maturities as they come. In a very short term, our only significant maturity is in December of this year for $74 million. That maturity will be repaid with free cash flow from this year's operations. So beyond that, we have a gap to 2018 and 2019, which we believe are all very manageable levels based on our expectations. It's also important to note that we expect Cerro Moro to begin contributing to cash flow in 2018 again highlighting that our repayment schedule matches well for our portfolio. Back to Chuck.
Chuck Main: The annual impairment task was performed using a long-term gold price of $1,250, which is lower than $1,300 used in the previous year. The long-term price of $1,875 was used for silver, $285 per pound in copper. The total non-cash impairment charge totaled $2.6 billion and $1.8 billion on an after-tax basis. In our guidance press release, we had indicated that an impairment was being considered. At that time we had not determined the amount and the audit review was outstanding. It should be noted that we have decreased the long term gold price by $50, but the largest impact to the impairment review was the decline in the valuation of the exploration land. The accounting standards have moved towards more current market values to be used as the benchmark in determining impairment amounts. For the exploration land, the benchmark has transaction values for exploration property sales and the market capitalization of exploration companies. We all know the impact that the current metal prices had on the stock prices of exploration companies. This has had a significant impact on the size of our impairment. This slide shows the after tax impairment by cash generating unit or CGU and the revised carrying values after the impairments. It is important to understand the concept of CGU as this includes the exploration land values. Therefore, for example, the El Penon after-tax impairment at $339 million includes the impact in the decline of the valuation of the land potential in hectares. This decline results in the impairment of El Penon, therefore the impairment relates to the exploration potential as opposed to the mine cash flows. It should be noted that the impairment is allocated to depletable and non- depletable assets on a proportional basis. Therefore, the depreciation guidance that we originally provided at $570 million for 2016 has now been reduced to $470 million. When we looked at our cost structure, we are seeing continuous stability at low levels as we focus on delivering on-plant production increases. Our all-in sustaining cash cost on both the bi-product and co-product basis for gold were lower than the cost structure we established last year. The year-over-year reduction was more pronounced on the co-product basis as the cash cost were impacted by lower by-product credits due to the decrease in the realized copper price. We expect to see further improvements in our cost structure in 2016 as production increases, as we continue to implement operational efficiency and other improvements across our portfolios. As we see the fuller impact of weakening currencies in the countries that we operate and as lower input per prices resulting from lower metal prices are reflected in our cost structure. Before moving on to feature expectation, I would like to make a couple of comments about our hedging programs. During the fourth quarter, all of our Brazilian reais hedge has expired, which means we have no further hedges in place in Brazil or elsewhere. The settled hedge is negatively impact to Q4 earnings by $23 million. With the expiry of these hedges, we expect to see the full value, the depreciation in the Brazilian currency in the 2016 earnings. On the copper front, at the end of 2015, we had 42 million pounds of copper forward contracts in place for the first half of the year. These contracts have an average sale price of $2.20 per pound, which will help offset some of the current volatility in copper prices and is expected to benefit our cash cost and all-in sustaining cash cost. I would now like to turn to future expectations and review what will be familiar to some of you as we announce guidance earlier this year in advance of our Investor Day. Looking at 2015, we ended the year at 1.275 million ounces. And going forward, we expect 2016 production of 1.23 million ounces to 1.31 million ounces, 2017 at 1.29 million ounces and then an increase to 1.35 million ounces in 2018. We are expecting small increases in 2016, a little flat in 2017, and then the production growth impact comes back in around 5% growth in 2018 from the start of Cerro Moro. That Cerro Moro production is starting around the second quarter of 2018. So doesn't reflect a full year production from that new operation, so we would see new incremental ounces also coming in 2019 with respect to Cerro Moro. We are showing increases over the 2015 levels, even at low end of future guidance for El Penon, Mercedes, Jacobina, Pilar, and Fazenda Brasileiro which supports modest overall growth in 2016. I would like to point out again, the 2015 numbers include production in the total for Alumbrera of 25,000 ounces. We are not showing the KPIs for Alumbrera going forward. So the 2016 to '18 numbers don't include the production from Alumbrera. So on an apples-to-apples basis you would have to make a little bit of an adjustment. Looking at the silver and copper production expectations, we see silver declining at El Penon, beginning in 2016 contributing to the decrease production for 2016 and 2017, which will be reversed in 2018 as Cerro Moro comes online and begins producing. It is important to note that when you look at the relative split between the precious metals, gold and silver, gold represents 93% of the revenue and silver 7%. And when you look at across all metals, gold is 75%, silver is 5%, and copper is 19%. So we have to recognize that we are getting the majority of our free cash flow and EBITDA coming from gold and copper. We had a strong copper production in 2015. As Peter mentioned, the budget was around a £120 million, we ran £130 million. At Chapada, we are looking at ways to improve the recovery rate and the throughput rate there. So I think the full story on the later years on copper is still untold. Turing to cost, we expect cash cost to improve across our portfolio for gold, silver, and copper. If you look at our cornerstone asset, you see our per ounce cash cost are expected to decline to approximately $512, an 8% improvement while our portfolio as a whole cash cost are expected to decrease slightly more to $605 per ounce. On a by-product basis, costs are expected to be about $525 per ounce of gold and $6.20 per ounce of silver. If we look at the gold product side, all-in sustaining cost by site, which is new information that we haven't previously given, we continue to see the low cost nature of our portfolio. The site all-in sustaining cost, which includes cash cost and local G&A and sustaining and local exploration, so then when we look at the consolidated total of $240 that includes the all-in sustaining cost at site then you add on principally the corporate G&A and that would allow you to calculate the consolidated total of $840 for gold and $10.75 for silver. When discussing costs, it's important to look at our cornerstone assets, those that contribute more significantly to our production in cash flow. On an all-in basis, we are producing each ounce of gold at Chapada, El Penon, and Canadian Malartic for $691, which is among the lowest cost in the industry. We note on here the site all-in sustaining cost for copper is $1.60. If we include the allocation of G&A to copper, that becomes $1.72 per pound of copper. So we still have very strong margin on each pound of copper that we produce. I'd like to finish by quickly summarizing the other guidance areas. In total, we expect sustaining capital to be approximately $275 million, all of which is picked up our all-in sustaining cash cost numbers. For expansionary capital, we expect to spend approximately $120 million. For exploration during 2016, around $85 million which Butch talked about of which approximately 30% is expense and will be picked up in our all-in sustaining cost numbers. We have talked about the G&A decreasing at 2016. More specifically, we expect it to be around $85 million of cash plus G&A and non-cash base of $15 million for total of around $100 million. The tax expenses are difficult one and hard to give general guidance and if you give a percentage then what happens typically during the year is that we've got our foreign exchange gains or losses in there and it always becomes something other than what you might expect. So the approach that we've taken here is to calculate there will be around $90 million worth of tax expense in 2016 and the cash taxes actually paid out will be approximately $50 million. Depreciation, depletion and amortization are expected to around $470 million in 2016, about $100 million less than previously guided. There is one more comment I’d like to make in respect of tax legislation in Argentina basically abolishing the 5% retention tax that applies to Gualcamayo and would have applied to Cerro Moro. We believe this is part of a package of pro business measures the new Argentinean government is bringing in to play and we’re seeing a lot of very positive developments in respect of Argentina and what this new government is doing to line itself in mining making it a more effective country to be in. Getting rid of some of the import restrictions and constraints on importing into Argentina. With that, I'll now turn the call back to Peter.
Peter Marrone: So ladies and gentlemen, we'll open it up for questions at this time.
Operator: [Operator Instructions] The first question is from Dan Rollins of RBC Capital Markets. Please go ahead.
Dan Rollins: Yes, thanks very much for taking the call. Thanks for putting the outlook going forward for us. Just a couple questions on some of the comments regarding some of the financing measures you are looking at taking. One with respect to the potential purchase of RDM, you mentioned external funding sources could you maybe elaborate on what options you are looking at for this to fund the 51 million.
Peter Marrone: Greg is here, I'm going to pass it to them for a moment. The question that was being asked was what options would we be considering for the funding of the purchase of RDM?
Greg McKnight: There is a number of things Dan that we’ve been looking at. We’ve sort of shown our hand last year in that we consider some streaming transactions. We’ve been approached by a number of parties unsolicited on certain opportunities, some of which relate to copper, so that’s one opportunity that provided we think that terms can be attractive. That's an opportunity that’s available to us. There is other assets that are considered non-core in the portfolio that over the next 12 months we think we could generate some cash inflows from. Agua Rica is a big one, it’s not a near term prospect in our view but over the course of the next 12 to 18 months, we think that there is a big opportunity with Agua Rica. So there is a number of different things that there is still a opportunity for private equity into Brio if you want to go that route. Peter mentioned earlier that, we’re not particularly interested in doing a transaction that unless we see that it’s positive value but there are opportunities on the Brio front still.
Dan Rollins: Okay. I think you answered my second question, I was going to get to, certainly the alternatives for the overall business but to fund the 51 million for RDM into Brio, what sources of funding are you looking, are you potentially looking at saying, Brio is now part of Yamana, will use the corporate side to raise equity or raise funds from either streams or to fund the RDM transaction or would you be looking at potentially doing a stream directly on RDM and keeping sort of Brio standalone as you had in the past, or should we look at Brio more as an integrated position in Yamana going forward.
Peter Marrone: Dan it is difficult to make the distinction that you’d like. It’s a division of the company. It is owned by the company and so we will look at the funding options that include what can be done at a divisional level and what can be done at a corporate level. At a corporate level as Greg mentioned, there is a ample opportunity to say can we do something that for example takes secondary metals and allows us to buy primary metal. So if we can take advantage of an opportunity on copper for stream as an example, I’m not suggesting that is what we would do but as an example then we will be buying a gold asset that would further improve Brio. That would then imply the following which is what does one do with Brio going forward. Well as we said earlier this year when we delivered our guidance and at our Investor Day, we’re looking to the improvement of the quality of the operations of this company, each of the three divisions of the company. We're running them presently as almost semiautonomous divisions. We’re going to continue to look at Brio from that perspective whether or not we monetize all or some portion of Brio or some assets in Brio we will evaluate in the fullness of time. The good news is that we have lots of opportunities available to the company that include possible secondary metal streaming deals, sale of non-core dormant assets that are on the balance sheet. Remember RDM is a producing asset so it delivers cash flow instantaneously as compared to something that is not generating cash flow in the company. So we look at all of those funding options for the purposes of buying RDM and then looking at what we do in terms of creating or demonstrating at least, not creating demonstrating the value that exist in the Brio operations.
Dan Rollins: Just with RDM, is there any more capital that needs to enter the asset to get it to I guess preferable run rates or is it just been more of a situation where it’s been encumbered with significant debt and streaming burden?
Peter Marrone: It’s mostly the encumbrances which all of which disappears part of this acquisition. As Gill mentioned and I'll turn to him but as he mentioned, it will require about $6 million for the purposes of the water impound of the water dam.
Dan Rollins: Okay.
Peter Marrone: Gill perhaps you might want to address what you see as the total CapEx over the course of say a year.
Gil Clausen: Our expectation with respect to RDM in order to get it up to production rate that we’ve guided in this release is that $6 million, roughly $24 million AI is required to complete this water reservoir which will allow for continuous operations. We anticipate that we will see further cost reductions of this operation with improvements to the power and power distribution system which would be about $5 million in capital to be expanded over the next 18 months or so. Very, very modest capital improvements will put a little bit of money into critical spares and items like that but it’s very modest.
Dan Rollins: Okay, perfect. Peter when you mentioned secondary metals, is silver foil the secondary medal for you now or is it just still copper?
Peter Marrone: I’d say to you that we would look very critically and it would be very difficult for us to justify more on the silver side. We think we have ample more room on the copper side should we choose to go down that path. So perhaps as a summary, I’d say that you should be looking at secondary, when we say secondary really is copper rather than anything else. Dan I’ll make one more observation which Gill touched on. You might remember that at the end of last year, beginning of this year we had a funding obligation on the assumption that all goes according to plan as it seems to for C1 Santa Luz. The Brio Division came to the corporate organization and said here is an opportunity for us to be able to self fund into 2017. So if we look at the inclusion of RDM into the Brio Division, we now have three producing mines of 240 ounces of annualized production at a low cost and a $1200 gold that would imply that Brio should be able to self fund C1 Santa Luz. That then means that division would have 350,000 ounces of production at an oiling cost that is in the range of about $800 per ounce. So this was really a way to say that to the extent that we were contemplating the possibility of spending money on C1 Santa Luz but we had not committed to doing that but contemplating it, preparing ourselves for that, this allows us to spend almost the same amount of money on acquiring an asset that is in production because of a distressed debt satiation with the company that owned it, that allows us to be able to get to higher quality result in the Brio Division.
Dan Rollins: Okay. Just moving on to and quickly and Alumbrera. I know you highlighted that this thing will start to be slowly wind it down here in 2017, what should we look at for reclamation annual spend there to sort of reclaim this asset going forward? How much would that come out of your cash flow or is it currently funded by cash sitting within the entity itself?
Chuck Main: Yes, it would be funded primarily by cash in the end to the end. Also this retention tax has been an issue with respect of Alumbrera and they have been paying it in the - I think with more recent changes I think we can take a chance if we’re going to see a bit of a refund in some of those that the totaling tax that Alumbrera has paid. So it will be self funding within the local entity.
Peter Marrone: And it's very modest for us as well Chuck, we have a 12.5% interest in Alumbrera so it's a very modest event. But may I make one more perhaps holistic observation. You might remember that we’d entered into a deal with Estrada since Estrada’s purchase that deal was cancelled but that deal contemplated the integration of Agua Rica into Alumbrera. If Alumbrera is now at the point where it has come to the end - its mine life it is these reclamation obligations, the integration of Agua Rica into Alumbrera significantly reduces or eliminates or pushes forward those reclamation obligations by full 20 to 25 years. So we are not seeing this really as a challenge relating to how Alumbrera as an entity funds those reclamation, we are seeing it as an opportunity for Agua Rica to deliver significant value to the complex and significant value as a result to Yamana.
Dan Rollins: Okay, I just needed to confirm that these large scale projects and have higher reclamation liabilities but I understand what you're saying with the future opportunity. And then just on the exploration side, you guys have had a tendency to go through periods where you have fairly big kick-ups in reserve growth as you take advantage of resource conversion done the previous two to three years. Do you expect going into the 2016 that should be a year we should see, outside of what you have talked about Brio but more conversion of resources to reserve some of your key assets?
William Wulftange: Hi, Dan. Yes, I think we are going to see some reserve growth would be at Pinyon. I would hope that going forward we see resource growth certainly at a number of our projects including the Canadian Wartech joint venture projects. We see growth at Chapada without a doubt, we see growth at Minera Florida as well, all good projects and good minds and they have shown positive growth this year.
Peter Marrone: Dan, if you look at our reserves in 2014 in the slide that would shows to 2015 over two year period, is virtually identical. The proven and probable has not changed and yet we have been mining for couple of years and the resource has grown. So that should give some testament to the fact that we think there will be an increase in proven and probable reserves. As Butch said on Pinyon in particular this is a timing issue and so we think 2016 will deliver that reserve increase. However, we also expect to see significant resource increase at Chapada at Canadian Malartic mostly as a result of Odyssey. Initially at least the Canadian Malarctic, so the result of all of that is that we should see not only increase in reserves in 2016 but then also increase in reserves to grow from that in the years to follow. So we are confident on our resource position and our reserve position. Some of you heard me say also that I think that this industry and our company in this industry is under spending on exploration and the result of that is we are seeing this year-over-year decline in proven and probable reserves. And so part of what we are evaluating is, are we in a normalized metal price of $1200 or higher that can justify a little bit more exploration dollars. How can we be more efficient in those exploration dollars that $85 million to $86 million budget to which Chuck and Butch referred that allows us to be able to get the same type of bang for the buck that we are spending $125 million several years ago, spending over $100 million in this company on exploration delivered significant proven and probable reserve increases year-over-year for four years in a row. What we are evaluating is now that we are in an environment where because of metal prices we are spending less on exploration how do we get the same bang for the buck.
Dan Rollins: Okay, great, thanks a lot. That’s all the questions I had. Enjoy your weekend.
Operator: Thank you. The following question is from Phil Russo of Raymond James. Please go ahead.
Phil Russo: Good morning, Peter. Just following up from Dan. You touched on it, RDM, how soon does it asset generate positive cash flow? I noticed you talked about the all-in cost here is around $800 announced, if I’m mistaken, I recall does it having a very high stripped in early years. Just wondering how it is going to generate positive cash.
Peter Marrone: Phil, the RDM operation is actually been - they have been conducting a lot of work over the last year with respect to advancing the operation. There the mine itself is in a steady state phase here with respect to stripping. There is no large stripping humps that we see in front of us right now. The mines are well developed and poised to increase production. This year, we expect to be fairly neutral with respect to cash on 50,000 ounces of production. We are going to be constructing that water reservoir in the latter half of this year, that's the plan. And once we have that constructed, it will ensure that we have sufficient water capacity in perpetuity base according for this operation. And that's the real driver for production at MRDM. The circuits been tested and we are confident with the recovery and tonnage performance of the plant. The mine is, as I said, in very, very good shape. So we are ready to go.
Phil Russo: Okay. The neutral three year and then as you get to the 100,000 ounce, right, 2017, it will start to contribute.
Peter Marrone: It really is - it's really like a switch. Once we have that reservoir complete, we'll be in continuous production. There is insufficient water capacity right now to run the full year and that's the issue with RDM and has been for the last year, year-and-a-half.
Phil Russo: So it has been really a capital issue for that then?
Peter Marrone: Correct.
Phil Russo: Okay. Thanks. That's all I have.
Operator: Thank you. There are no further questions registered at this time. I'd like to turn the meeting back over to Mr. Marrone.
Peter Marrone: Ladies and gentlemen, let me capture a couple of important points. First is - you see on our production in 2018, an increase in production, it does not contemplate certain things that some of you have asked us about. We are looking at a throughput increase at Chapada mostly the result of Sucupira and that discovery. We are looking at how we can fast track some parts of Sucupira to come into production beginning in 2018. We think that there is opportunity for Canadian Malartic to produce more than what we are showing in 2018 and mostly as a result of the expansion, which is in permitting at the present time. And Barry touched on the point of Cerro Moro, which is that we are expecting a production platform not of 130,000 ounces in each of the first three years and 100,000 life of mine, but 150,000 ounces in the first three years and 130,000 life of mine. So we do see some potential for improvement. We think that these goals are achievable on our guidance. I just have to refer to one other thing and I apologize for taking a bit of time on this. But we often speak of our portfolio of assets overlooking our core assets, which is our people. And amongst these is one person that deserves a special mention today. Chuck, our CFO as announced his retirement. And in his typical style showing leadership, steady hand, loyalty and confidence; he has shepherded our growth from one small mine in 2003 to where we are today. He has managed our financial effort impressively. He has shown team building and leadership. He has developed an impressive talent pool that allows us to promote from within. And now on announcing his retirement, he has shown again the leadership with a high-quality succession plan with a sufficient time for orderly transition. While he will be here to see us through 2016 and he will hear him on our conference calls through the yearend conference call for 2016, we would be remise if we did not today begin to thank him for his efforts. He will take the opportunity in the next several weeks to more fully introduce our CFO elect to our analyst and stakeholder community. And with that, ladies and gentlemen, thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.